Operator: Greetings, and welcome to the Ibotta Second Quarter 2024 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce you to your host, Shalin Patel, Head of Investor Relations. Thank you, Shalin. You may begin. 
Shalin Patel: Good afternoon, and welcome to Ibotta's Q2 2024 Earnings Conference Call. With us today are Bryan Leach, Founder and CEO; and Sunit Patel, CFO. 
 Today's press release and this call may contain forward-looking statements, including our guidance for Q3 2024, that are subject to inherent risks, uncertainties and changes and reflect our current expectations and information currently available to us. And our actual results could differ materially. For more information, please refer to the risk factors in our recent SEC filings. 
 In addition, our discussion today will include references to certain supplemental non-GAAP financial measures. They should be considered in addition to and not as a substitute for our GAAP results. Reconciliations to the most comparable GAAP measures are available in today's earnings press release, which is available on our Investor Relations website at investors.ibotta.com.  
 Also, during the call today, we'll be referring to the slide deck posted on our website. Unless otherwise noted, revenue and adjusted EBITDA comparisons to prior periods are provided on a year-over-year basis. Lastly, references to non-GAAP revenue growth reflect the exclusion of onetime breakage revenue benefits in 2023. This is due to an update we made in 2023 to fix the software error to correctly charge maintenance fees to inactive direct-to-consumer redeemers, which resulted in a short-term benefit to GAAP revenue last year. Please see Slide 26 in the appendix for more detail. 
 With that, I'll turn it over to Bryan. 
Bryan Leach: Thanks, Shalin, and good afternoon, everyone. Thank you for joining us to discuss our second quarter results. We're happy to announce that we delivered revenue and adjusted EBITDA above the high end of the guidance range we provided on our first quarter earnings call. 
 The IPN is resonating strongly with all 3 of our key constituencies: consumers, publishers, and CPG brand clients. The total number of redeemers on the IPN continues to grow at a rapid pace, increasing 158% year-over-year and 10% sequentially from Q1. We successfully rolled out the IPN to new publishers in the second quarter while announcing 2 new publisher wins with Schnucks and with Instacart, demonstrating our success in building the Ibotta flywheel. 
 Our redemption revenue grew 51% year-over-year on a non-GAAP basis, highlighting the value that our clients are seeing by leveraging the unique scale of the Ibotta platform. I'll dive into all 3 of these areas in more detail. 
 First, regarding consumers. The IPN is reaching more Americans than ever before, setting a new record for redeemers at 13.7 million in Q2, which is higher than our seasonally strong Q4 last year. With persistent elevated prices and high levels of household debt, U.S. consumers are looking for value more than ever, and they are finding a greater quantity of Ibotta digital offers across a larger number of categories in more and more locations. 
 We are still in the early phases of driving penetration and adoption across the large customer bases of our existing third-party publishers and are working hand-in-hand with each publisher to increase discoverability of our offers for both online and in-store shopping experiences. We have a long list of initiatives in the pipeline and expect our partners to continue upgrading their savings programs between now and the end of the year. The implementation of these best practices will help consumers more easily discover, clip and redeem offers on each of our publishers' digital properties, ultimately resulting in continued redeemer growth.  
 Moving on to publishers. We've seen an acceleration of inbound interest from potential partners over the last few months. I've never been more excited about our publisher pipeline. And I view it as confirmation of the market's strong desire for a new, more technologically advanced platform for delivering digital promotions. We are working hard to diversify our network by signing up new category leading publishers across different verticals. In this way, we hope to accelerate the Ibotta flywheel, better serve our CPG brand clients and capture the related network effects.  
 On that note, we are pleased to announce that Instacart, a leading grocery technology company in North America, will soon be joining the IPN, giving Instacart's customers access to Ibotta's industry-leading catalog of offers and promotions. Instacart's marketplace of more than 1,500 retail banners with a footprint of more than 85,000 stores will give our CPG brand partners even greater opportunity to reach high-intent audiences as they build their shopping baskets. 
 We believe Instacart's decision to entrust Ibotta as its third -- preferred third-party coupon provider reflects their commitment to delivering the greatest possible value to their consumers as well as an alignment regarding the importance of technological innovation in shaping the future of the grocery industry. We expect our depth of offers, combined with our targeting capabilities and Instacart's UX, to result in strong redemption rates similar to or above what we've seen in the online-only businesses of our current publisher partners.  
 To put in perspective the potential value of our deal with Instacart, according to eMarketer, Instacart's share of the grocery e-commerce market is 2/3 the size of Walmart at 18% and 27%, respectively. Our teams are working hard to get our digital offers live on the Instacart platform during the fourth quarter, and we believe that once this is wrapped up, it will be a significant ongoing contributor to our growth.  
 Specifically with regard to Walmart, we are pleased with the growth of our audience there. While we don't break out our redeemers by publisher, we are tracking ahead of our expectations. We are in regular dialogue with our counterparts at Walmart, working together to drive greater awareness of our cash back offers and improve the online and in-store redemption experience for redeemers. 
 In terms of our other publishers, we anticipate a successful launch with Schnucks later this quarter, which will deliver a more personalized savings experience for their customers. The joint R&D initiatives that we envision with Schnucks are still in their nascent stages, but we remain excited about the potential to integrate our digital offers into their retail media and other in-store technologies.  
 We are more than 1 quarter through our rollout at Family Dollar, which began in early April. The partnership is off to a strong start, and we are continuing to refine the UX and the marketing communication around the new and improved Smart Coupon program. We also began to roll out Ibotta offers to the retailers in the AppCard network at the start of April. Because individual grocers are coming online at their own pace, this is a more gradual ramp than that of a typical publisher partner. 
 That being said, it is in line with our expectations, and we are pleased with the progress being made. We have seen a step up in daily redemptions as more retailers have gone live. We expect that we should be fully rolled out to all retailers that ingest digital coupons from AppCard by the end of the year.  
 Finally, switching gears to talk about clients. Our team of sellers and account managers has been focused on growing our budgets with existing CPG clients while adding new brand partnerships and expanding into new verticals and product categories. As we look out on to the horizon, we see 3 important tailwinds for Ibotta's business. 
 First, there is a growing desire within CPG companies to use digital promotions to recapture consumers who are price-sensitive, many of whom have trended away from national brands and toward private label alternatives. Several of our CPG clients have recently commented publicly that they plan to increase promotional spending in the back half of the year to combat weaker volumes and respond to increasing price sensitivity among consumers. 
 As an example, the CEO of General Mills made a comment in their last earnings call about their plan to increase coupon spend in 1H fiscal 2025 by 20%, citing Ibotta as an example and underscoring the value of using first-party data to target specific customers in a more sophisticated way. We believe that the size and scale of the IPN will make it one of the biggest beneficiaries of the greater promotional investments these companies intend to make.  
 Second, many large CPG companies are pulling back on marketing investments that have a less definite return on investment. In this environment, we believe our business is especially well positioned because we offer a pay-per-sale alternative that derisks their marketing investments and delivers measurable incremental sales in a highly cost-effective manner. When every dollar invested either converts to a measurable sale or you don't pay, CPG brand managers and their media agencies can invest with greater confidence.  
 Third, we continue to hear from CPG leaders that they want to see a much higher degree of rigor when it comes to measuring the return on investment of their marketing spend. Until now, marketers have relied heavily on assumption-driven models to determine how much credit to attribute to various forms of media they buy. This can be a difficult task. After all, how can you disentangle whether it was your TV commercial, billboard, radio ad or paper coupon promotion that led to sales? How much did each tactic contribute? Should the attribution window be 7 weeks or 70 weeks? These are thorny problems, and different models often yield different results depending on their underlying assumptions.  
 Further complicating matters, these modeling exercises can take up to 12 months, which prevents a brand manager from using them to optimize marketing mix in real time. Previously, promotions have been measured in a less rigorous way because these models assume they were one size fits all and little data existed on how consumers actually behaved after redeeming an offer. What if instead, you could look at purchase trends over time, paying careful attention to whether redeemers continue buying the product, and if so, whether they pay full price? Ibotta's data allows for more definitive answers to these questions. It also allows brand marketers to receive these answers right away, unlocking a much more agile approach to budget allocation that can become an important strategic advantage for brands.  
 What becomes clear is that Ibotta's promotions are both far more measurable and more effective than historical forms of promotion. In short, this is not your grandma's coupon, and that message is starting to sink in. It takes time to effect a sea change in how marketing spend is measured, but we are encouraged by the momentum we see in the market. The median CPG budget on Ibotta for advertisers spending more than $50,000 year-to-date has grown by more than 50% on a year-over-year basis. 
 Increasingly, CPG brands not only view Ibotta as a way of quickly moving the needle on sales to close the quarter, but also as one of the more efficient marketing investments. When it comes time to determine their annual marketing budget, we anticipate that CPG brands will continue to increase their investments in the IPN, particularly as we socialize the scale of the new opportunities on Instacart, the growth of our existing publisher audiences and the addition of new publishers.  
 Within our existing CPG clients, some of our biggest year-over-year increases have occurred in the home care and personal care categories. In addition, some of our biggest category wins outside of grocery include general merchandise such as toys, pet, home and lawn and garden care. We continue to make progress in these areas with general merchandise redemption revenue as a percentage of total redemption revenue almost doubling as compared to the same quarter last year.  
 To wrap up, we believe our initiatives with our existing retailers, our recently announced publisher wins and our growing confidence in our network effects and ability to continue adding new third-party publishers sets us up very well for strong redemption revenue growth in 2025 and beyond. 
 With that, let me hand the call over to Sunit to discuss our second quarter results as well as our third quarter guidance. Sunit? 
Sunit Patel: Thank you, Bryan, and good afternoon, everyone. We delivered strong revenue, adjusted EBITDA and free cash flow growth, with revenue and adjusted EBITDA 3% and 20% above the midpoint of the guidance range we provided on our first quarter earnings call, respectively. We were particularly pleased with our free cash flow of $32.7 million in the quarter and nearly $50 million year-to-date, which for the first half of the year, represents a free cash flow margin of 29%. We saw significant growth in third-party redeemers across the IPN on both a year-over-year and a quarter-over-quarter basis, highlighting the unique scale that we can bring to our clients.  
 Revenue in the second quarter was $87.9 million, representing non-GAAP revenue growth of 29% year-over-year, excluding $9.4 million in onetime breakage revenue in the prior year period. We delivered Q2 adjusted EBITDA of $25.3 million, representing an adjusted EBITDA margin of 29%. Adjusting for the $9.4 million in onetime breakage revenue last year, this compares to a 20% margin in Q2 of 2023 and implies north of adjusted EBITDA growth of 80% year-over-year. In Q2, redemption revenue comprised 84% of our total revenue, with ad and other products comprising the balance of 16%. This compares to 75% in Q2 of last year.  
 3PP redemption revenue comprised 47% of total revenue, with D2C redemption revenue representing 37%. This compares to 17% and 55% for 3PP and D2C non-GAAP redemption revenue, respectively, a year ago in second quarter of 2023 and also illustrates the dramatic mix shift in our business. In Q2, our redemption revenue was $74 million, up 51% year-over-year on a non-GAAP basis. Our total redeemer and redemption growth continues to be strong, and we continue to see an accelerated mix shift with relatively stronger performance than we thought in our third-party publisher business compared to the D2C business.  
 Third-party publisher redemption revenue was $41.7 million, up 255% year-over-year, while D2C redemption revenue was $32.3 million, down 13% on a non-GAAP basis, excluding the onetime rate benefit in Q2 of last year. Ad and other revenues, now 16% of our revenue or $14 million, which is similar to the first quarter and down 27% year-over-year. We are seeing CPG brands reallocate their dollars towards fee for sales promotions on our network at the expense of nonperformance-based banner ads on our mobile app, which is evident in the strength of our redemption revenue. 
 As many other companies in the advertising ecosystem have highlighted, certain display ads and other nonperformance ad spending by large CPG brands has been weaker. While we see opportunity to be more aggressive in executing our advertising go-to-market strategy, we have continued to see more client interest on the redemption side of our business.  
 Turning to our key performance metrics. Total redeemers were 13.7 million in the quarter, up 158% year-over-year, driven by, one, the rollout of Ibotta Power Manufacturer office in Walmart to all U.S. Walmart customers with a walmart.com account towards the end of the third quarter of 2023; two, the subsequent growth of Walmart's audience; Three, Dollar General launching in July 2023, and four, Family Dollar launching in April 2024. 
 Redemptions for redeemer were 5.9, down 39% year-over-year, driven by the growth in third-party redeemers, which have a significantly lower redemption frequency as compared to our D2C redeemers. Redemption revenue per redemption was $0.92, down 4% year-over-year on a non-GAAP basis, primarily reflecting the mix shift toward third-party redemptions. This was partially mitigated by the growing contribution from higher MSRP general merchandise and like-for-like price increases. As a reminder, redemption revenue per redemption can vary quarter-to-quarter based on seasonal patterns but also due to variations in offer mix.  
 Turning to third-party publishers. Redemption revenue was up 255% year-over-year. Redeemers were 11.9 million in the quarter, up 253% year-over-year. Redeemers rebounded strongly in Q2 after a normal and expected seasonal decline in the first quarter of 2024. Redemptions per redeemer were down 6% as compared to the prior year period to 4.4 and offset by redemption revenue per redemption, which was $0.80 or up 7% year-over-year.  
 Turning to our D2C business. D2C redemption revenue was down 13% year-over-year, excluding last year's onetime breakage revenue benefits. We expect D2C redemption revenue to be down year-over-year in Q3 as well as we are lapping a high benchmark of 20-plus percent growth in the same period last year, similar to the comparison in Q2. The year-over-year comparison for D2C redemption revenue should ease materially in Q4 as revenue growth in Q4 of 2023 slowed to 7%. D2C redeemers were 1.8 million, down 7% year-over-year while redemptions per redeemer were 15.9, down 13% year-over-year, leading to a decline in total D2C redemptions. Our D2C redemption revenue per redemption was $1.13, an increase of 8% year-over-year, excluding last year's onetime breakage revenue benefit.  
 Although D2C redemption revenue is down year-over-year, we remain focused on overall redemption revenue growth, which is very robust. Given the outperformance of third-party redeemer growth, a greater portion of budgets are getting consumed on third-party properties, leaving relatively fewer redemption opportunities for D2C redeemers, as offers are distributed across the IPN democratically. 
 Ultimately, however, advertiser budgets follow audiences. And thus, we expect client budgets to grow in proportion to the growth in redeemers network-wide as we've seen over the last couple of years. A combination of strong revenue growth and operating leverage resulted in adjusted EBITDA over our [ guidance ]. We generated $25.3 million of adjusted EBITDA, which represents an adjusted EBITDA margin of 29%. Q2 non-GAAP gross margin was 86%. Adjusting for the onetime breakage revenue benefit in Q2 of 2023, non-GAAP gross margin would have been up 40 basis points year-over-year. Non-GAAP operating expense as a percent of revenue was 58.9%. Adjusting for the onetime breakage revenue benefit in the prior year period, non-GAAP operating expenses as a percent of revenue would have declined by approximately 800 basis points.  
 Within that, our non-GAAP sales and marketing grew by 7% as we increased our brand marketing spend year-over-year, offset by a decline in less efficient D2C marketing expense. Non-GAAP research and development expenses increased by 15% as we continue to prioritize investing in product and technology. 
 Lastly, non-GAAP general and administrative expenses increased by 24%, reflecting $1.5 million in onetime IPO costs in the quarter as well as recurring public company costs. We delivered adjusted net income of $19.9 million and adjusted diluted net income per share of $0.68. Our adjusted net income excludes $44.8 million in stock-based compensation and $11 million loss on the convertible notes and derivatives which were extinguished at the time of the IPO and a negative $2 million adjustment for income taxes.  
 We generated $32.7 million of free cash flow in the quarter and have generated $49.6 million of free cash flow year-to-date. We ended the quarter with $317.9 million of cash and cash equivalents. We realized $198 million of net proceeds from the IPO. For Q3, we are estimating approximately weighted average fully diluted shares outstanding of 34 million.  
 Turning to our third quarter outlook. We currently expect revenue in the range of $91 million to $96 million, representing 12% non-GAAP revenue growth at the midpoint. We expect third quarter adjusted EBITDA in the range of $28 million to $32 million, representing a 32% adjusted EBITDA margin at the midpoint.  
 I'd like to provide you a little more color on our Q3 outlook. Similar to last quarter, we are seeing strong redemption revenue growth, offset by softer ad revenue performance. Within our redemption revenue, third-party publisher redemption revenue is continuing to outperform, driving a greater mix of third-party redemption revenue as a percent of total redemption revenues relative to our prior expectations. We anticipate that this strong growth in third-party redemption revenue, driven by better-than-expected third-party redeemer growth, will drive healthy year-over-year revenue growth in our total redemption revenue. We anticipate third-party redeemers to continue to step up in Q3 as our partnerships with existing publishers ramp and get a seasonal bump from back-to-school.  
 Similar to other companies in the ad space, non-performance-based ad revenue has been impacted by a softer macro environment. We expect ad and other revenue for the quarter and the rest of the year to be in line with the second quarter. However, promotions should continue to see strong demand, given their role as a performance-based alternative to traditional brand advertising and the tangible impact on our clients' volumes. As a result, the implied third quarter non-GAAP redemption revenue growth rate at the midpoint of our guidance range is in the mid-20s. We are not planning for significant improvement in our ad revenue for the balance of the year. As we lap easier advertising comps in 2025 and benefit from continued growth in our redemption revenue, we do expect our overall revenue growth rate to reach a trough in Q4 before reaccelerating in 2025.  
 On the expense side, we estimate stock-based compensation expense to be about $14 million per quarter in Q3 and Q4 of this year, with that number declining to about roughly $10 million a quarter next year. We anticipate a GAAP tax rate in the mid-30s for the balance of the year, with an expectation of a more normal GAAP tax rate of mid-20s in 2025 and beyond. We expect our adjusted tax rate to be approximately 22% to 23% in the second half of 2024 and beyond.  
 In conclusion, we generated strong revenue growth with healthy adjusted EBITDA margins above the high end of our guidance range for Q2. We continue to expect strong third-party publisher redeemer growth both from our existing publishers and from new publishers that we are in the process of launching. Signing the Instacart deal gives us further confidence in our revenue growth in 2025 and beyond.  
 Ultimately, we measure our performance through 3 main lenses. One, redemption revenue growth; two, redeemer growth; and three, the pace of new wins with additional third-party publishers. We are pleased with our progress along all 3 dimensions and believe it puts us on a path to deliver long-term shareholder value. 
 With that, operator, let's open up the call for Q&A. 
Operator: [Operator Instructions]. Our first question comes from the line of Bernie McTernan with Needham & Company. 
Bernard McTernan: Great. Congrats on signing the Instacart deal, that's really exciting. That's where I wanted to focus my questions. Maybe first, Bryan, if you could just provide any additional help in terms of sizing the potential benefit of the deal and any timing. And then as a follow-up, just any color that you can provide if there was any equity associated with the deal or revenue sharing relative to other third-party publishers that you signed? 
Bryan Leach: Thanks, Bernie. Yes, we're incredibly excited to be partnering with Instacart. I believe it represents a really important catalyst for growth in the future. I cited some data from eMarketer that their e-commerce grocery business is roughly 2/3 the size of Walmart's e-commerce grocery business. As you know, the majority of our redemptions on Walmart today are actually from the online transaction e-commerce flow. 
 And so we believe that there is quite a large opportunity at Instacart that's -- that proportion provides a reasonable guide to the size of the opportunity. Part of that is because we believe that there's going to be a very strong user experience, a real commitment to market the program and just a lot of interest among the entire CPG brand community and making sure they have access to this fast-growing audience.  
 In terms of timing, we're really looking at making sure we try and get this out before the end of the year. The timing is always a little bit tricky because it's a function of rolling it out, making sure it's moving well, that there's no bugs. We don't commit to fixed ship dates and then just ship them out no matter what, damn the torpedoes. We take a little bit more of a -- make sure it's really working approach. But certainly, both sides are motivated to get this opportunity in front of their shoppers, and we think we can do that by the end of the year.  
 Recall, there's a ramp period to get it to where it is something that consumers are aware of using regularly, but we think we feel confident we can do that in the fourth quarter of this year. And as we look out to 2025, I feel like that's going to be a significant driver of redemption revenue growth. 
 And then in terms of your question about the commercials. We don't get into the particulars of the commercial arrangement, except I can say that there's no equity component to this deal of the kind that you might have seen with the warrant arrangements with Walmart. Hopefully, that's helpful. 
Bernard McTernan: That's great. Thanks, Bryan. 
Operator: Our next question comes from the line of Ron Josey with Citi. 
Ronald Josey: Bryan, I wanted to ask a little bit more about the D2C and the 3PP network and the expectations here. Just -- I think you said 3PP redeemers are tracking ahead of expectations at Walmart. And I want to understand a little bit more about what might be driving the strength at the Walmart partnerships that clearly was a positive in the quarter. And then similarly, the challenges at D2C. I've seen that you talked about several, but wanted to understand that a little bit more as 3PP becomes a bigger part of the business. 
Bryan Leach: Thanks, Ron. We'll start with Walmart and the strength of 3PP redeemers. I think overall, you have the opportunity to save money in this climate is extremely compelling, especially at a place like Walmart, where the mission is to save money, live better. We have strong offer content available to Walmart shoppers, and they're taking advantage of that, coming back, using it more frequently, telling their friends, growing organically. There are a number of initiatives that we are excited to look out to that we think will further catalyze growth at Walmart. And so the growth that we've seen and the strength that we've seen in 3PP is not as if it's on the back of all of our best ideas. In fact, it's mostly organic. And I think that's really promising.
 I will say, in terms of the D2C business, I wouldn't say there's a challenge to the D2C business per se. I would say that there's been so much strength in the 3PP growth of that redeemer audience that there's been a lot more mouths to feed in terms of just the amount of opportunity to redeem an offer on D2C or the length of time that, that offer might be available is somewhat less than we might have anticipated because there's a lot of interest in redemptions occurring on third parties. And that mix shift, as you know, strategically is one that we're excited about. We believe the opportunity to scale this network is especially strong in the third-party environment. And as we see that grow, we're excited because there's very strong economics in that environment as well. 
 We do think that as overall audience size grows, so too go advertiser investment levels. And so these are not completely continuous processes as we step up and are able to go back to our advertisers and say, look, we're really growing faster than anticipated here. In terms of overall redemption revenue, we're doing really well. We're growing. And then third party, we're way ahead of expectations, and that mix shift has kind of accelerated. We're confident that they will allocate the kind of budget to take advantage of not only the third-party growth but also the exciting audience that we have on D2C. So again, we really focus on overall redemption revenue growth and we're very pleased with how that's playing out. 
Ronald Josey: Thank you, Bryan. Congrats again on Instacart. 
Bryan Leach: Thank you. 
Operator: Our next question comes from the line of Eric Sheridan with Goldman Sachs. 
Eric Sheridan: Maybe 2, if I could. One, I don't think you mentioned it so I just want to come back on the Instacart partnership. Is there anything we should be keeping in mind between now and the end of the year in terms of either integration costs or things that might put a more onetime pressure on EBITDA that obviously would fall away as you move past the integration and they were fully on the IPN? That would be number one. 
 And then number two, Bryan, when you think about the share taking position you're in with respect to CPG and in marketing budgets more broadly, what do you think longer-term is pretty critical in terms of putting in place to continue some of that momentum on the advertising side as you look out, not towards the back part of this year, but the budgeting cycle ahead of 2025? 
Bryan Leach: Thank you, Eric. First question, Instacart. No is the short answer. I don't foresee any onetime integration costs of note that were not anticipated. It's in the ordinary course of our business. I will say that we're getting better at launching these programs more quickly. We've done it now many, many times. And I think that that's going to benefit the time line as well as the cost profile. There's just a certain amount of reusable technology APIs and so forth that are largely in place. And I would say much of the cost is on the publisher side to get up to speed, and even that is not very significant in the grand scheme of things. So that's exciting. 
 And then on the second question about taking share. Given this position we're in and kind of this countercyclical element to our business, the performance element to our business, I think that since the IPO, I've been on a sort of second roadshow, and I've been visiting with C-level executives at many of our top 20 CPG accounts. And what I think is absolutely critical is to get across to them that these types of promotions are targeted, they're intelligent. They're not subsidizing just people who are going to buy your product anyway needlessly. And they can be designed in a way with a very measurable payback period. And there's a way to do that with the data that we have that truly has never been introduced to the market. In terms of looking at kind of a test and a control and tracking behaviors into the future, that kind of scientific method is really exciting to an industry that, frankly, Eric has had to settle for a lot more blunt instruments in the form of some of these assumption-driven models. 
 And so as that conventional wisdom around the limitations of the promotions of old falls away, what you get is both a really immediate lever to regain market share, but also a super efficient tactic that I think is getting a really serious look from much more senior people within these organizations. So it's continuing to demonstrate that, that is a function of not only the scale of our network, but also the intelligence of being able to put the right offer in front of the right consumer. 
 I'll also just highlight, I think there's a lot of opportunity for us in the tools that we make available to clients. That is something that really focuses on real-time optimization. We're in a moment of transition from someone calls us, we help them configure an offer, there are a certain set of parameters or rules that are sort of manually put in place and then it runs, to a world where it is dynamic, where AI can determine a lot of the parameters where you're solving for a key metric, much the way that digital advertisers have done for years in environments like Facebook, Google, TikTok, et cetera. 
 So that agility that it enables, that is something that's really exciting, and it's going to take some time to get out there and socialize just what a major opportunity that is because you can now really be opportunistic and let dollars flow to the most efficient channel intra-quarter. So those are some things I'm focused on. 
Operator: Our next question comes from the line of Curtis Nagle with Bank of America. 
Curtis Nagle: So I guess just going back to the 3Q guidance. I think I understand the thesis here, right, so just kind of looking at 2Q, right, some weakness obviously from advertising flowing through. 3Q redemption revenues particularly well. I guess it's sort of simply, Bryan, you mentioned that some of your CPG clients and kind of the industry in general are either pointing to more pricing investments, right? Let's get volume up. To what degree is that baked into the guidance for 3Q, if at all? 
Sunit Patel: Yes. I mean if you look at our guidance, as I said, I mean based on our conversations with our clients, we think that the ads business is kind of where it will be, where it was in the second quarter and the third quarter. But what we are seeing -- we talk about the macro, but we are seeing just in the month of August, we've seen strong interest from clients in increasing the budgets, which is benefiting both our third-party publisher business and our D2C business. So it's a little beyond just a seasonal pickup. So I think that there are specific clients that talk to us just about getting volumes up without naming them. In the chickens category, for example, we just want to hit certain volumes. 
 So we are seeing the impact of some of the macro trends that you heard the CPG clients talking about on earnings call. They are trying to drive more volumes. And I think we're going to benefit from that, and we are seeing recent strength there. 
Curtis Nagle: Yes. So just, I guess, one -- just again -- just -- on the -- I want to make sure I get the structure of the revenues correct. Did you say you still think total redemptions are going to be kind of up 20% year-over-year? I didn't quite catch that, if you would. 
Sunit Patel: Yes. I think what we're saying is if you assume that the ad revenues in the third quarter are flat compared to the second quarter, which is about $14 million, and what that implies for the midpoint of our revenue guidance deriving from that, the redemption -- overall redemption revenue growth, it means we'll be at like a mid-20s revenue growth and overall redemption revenues in the third quarter. 
Operator: Our next question comes from the line of Chris Kuntarich with UBS. 
Christopher Kuntarich: Just want to go back to the Instagram -- Instacart partnership. You called out in the press release, they have about 6,000 CPG brands versus your 2,400. Could you just maybe help us think about how a marquee partnership, such as this one, either helps you engage with either new brands or reignite that conversation with existing brands that may not have been over the line and just kind of how should we be thinking about the incrementality from the brand side of things with this Instagram -- Instacart partnership? 
Bryan Leach: Yes. First of all, you have now joined me in conflating the word Instacart and Instagram potentially in every other sentence in my life. So as far as that specific question, you're absolutely right. I mean, think about all the places where you can use Instacart. It's not just in the grocery store. It's also at Costco, it's also at Lowe's. It's also at Best Buy. So it really does support our effort to reach out beyond the core grocery brands and expand into new verticals in general merchandise. It is a way of diversifying our network. And that is very, very important to our CPG brands because when you can say there's this much volume coming from non-Walmart sources, that is really important in terms of making sure you're accessing the largest possible national budgets. We don't want to be pigeonholed in the sense that there's only people saying, well, this is principally a Walmart vehicle, et cetera. So I think that it is important in that sense. 
 I think it's also a different audience. It is an incremental audience that is different in kind from what you might find a Dollar General or at Family Dollar, for example. And so getting in front of this younger, technologically savvy audience is super important to brand managers that are thinking about this in terms of lifetime value. I'd also point out that it gives you access to kind of the e-commerce budgets within these companies. So there are general brand manager promotional budgets. And in many cases, they have a special focus in dollars allocated to e-commerce. And while we have a very large e-commerce presence today in our network, a pure-play e-commerce grocery of this kind is really important to those people. And frankly, they cannot afford to sit outside of this kind of flow and shape purchase behaviors at this moment in the inflection of online grocery. 
 I also want to stress the validation of this. I mean, Instacart is a very savvy organization that has -- could have chosen any number of different partners. And the fact that they have chosen to partner with Ibotta and to build -- to let us help them take this promotions business and make it something much more exciting for their customers to help offset the cost of delivery and so forth is a really big signal to CPG brands. I think they say, all right, these people know what they're doing when it comes to the future of technology and grocery. You've probably seen some of the things they're doing in store that are really exciting and cutting-edge. And we're really honored that they've placed that trust in us. And I think it's not lost on others who are trying to say, look, I don't want to place scattered bets all across the universe here. I want a single interface through which to execute a truly national, promotional strategy. 
 And this is a network effect business. So for us to carry that momentum, I think, will help us in this vertical more broadly. And it will then, I think, accelerate the addition of new publishers, all of which brands are going to see and want to get out in front of with their allocation of budgets especially as we head into 2025, and we get those budget allocations refreshed. Everyone is on a different fiscal, but as those refresh, this is going to be a very important factor. 
Christopher Kuntarich: Got it. Very helpful. Maybe just one quick follow-up on Walmart. Anything to call out as it relates to the 3P redeemers in 2Q as it relates to in-store Walmart activity? Any movement on initiatives there worth calling out? 
Bryan Leach: Definitely, movement on initiatives because -- out of respect for our partners, we don't want to disclose the initiatives that they have coming up. I would say that there haven't been really material initiatives in the second quarter per se at Walmart. I mean we're really happy with the organic growth of the Walmart Cash program. I think the macro has been a tailwind. We're ahead of where we expected to be on that. It's something that's very popular with the Walmart shopper, and we've seen that in a lot of different ways. We have been testing a few new capabilities with Walmart and other publisher partners in the second quarter that if rolled out more broadly, we believe could be significant, could be material. And we believe that between now and the end of the year, there are 2 or 3 initiatives that we're looking forward to seeing the impact that those may have. 
 As you know, and I've said this all along, we tend to sort of take a wait-and-see approach, a kind of -- we announce marriages and not engagements here at Ibotta approach. And so we have seen some of those capabilities really show up in the data in the past and some not. So we'll be paying close attention to when those are rolled out more fully. And sometimes, frankly, they tell us a couple or 2, 3, 4 weeks in advance, but not orders in advance exactly when things are going to be going live. And so as we get that information and we start to see that and feel like it's a stable, predictable inflection point, we'll certainly relay that. 
Operator: Our next question comes from the line of Andrew Marok with Raymond James. 
Andrew Marok: Maybe a bit of a follow-on to a prior question, but now that Instacart is on board, I guess, is there any change to the thinking about prioritization for the different types of IPN partners? Is it the case where you still will take national and regional grocery chains as the relationships develop? Or does the Instacart agreement maybe give you a bit of a toehold and some momentum among those types of companies? 
Bryan Leach: Thank you, Andrew. Yes, look, I mean, what I can tell you is that the biggest surprise for me coming out of the IPO has been the effect that it has had on inbound interest in joining our network. I'm really pleased to see that happen across a variety of verticals. So as we think about some of the things that we're pursuing, yes, of course, the core mass grocery space is a real area of strength. But now that we have this grocery technology delivery service publisher, and we can show the power of that. I think that is a validation and creates -- and certainly creates interest among other e-commerce companies. 
 We've had a number of conversations in the specialty retail area. And even nonretailer publishers continuing to see opportunity there. I think we are able to walk and chew gum at the same time. So I believe we're able to pursue multiple different opportunity strands with different publishers. This one is especially exciting in material just because of the sheer scale and because of the fit and overlap between their offer catalog and our current -- I mean, sorry, their product catalog and our current offer catalog and because of their specification as a technologically savvy company that's got a lot of interesting things, both in-store and online coming down the pike. 
 But look, the more we are seen to be on the front edge of demonstrating what is possible with a sort of showcase publisher, right, where they do things in the user experience, in the life cycle communications, in the way they tie into the in-store technologies of the future. I think the more people pay attention to that and say, I want to be associated with that, best-in-class, both technology and it also just begets more offer content. Recall that my library analogy, the more you bring in kind of publishers and increase the size of the student base, it actually -- in my analogy of a library, it actually attracts more interest in being a part of that library, right, and being part of our offer catalog. 
 And so the presence of Instacart and its growth and so forth, I think, will benefit not only the existing publishers that we have and bring more offers to them, it will benefit D2C. And it will also, I think, speed up our success rate in  converting both the inbound and some of the long-standing outbound ongoing conversations. But we'll -- only time will tell, Andrew, but I'm optimistic. 
Operator: Our next question comes from the line of Andrew Boone with JMP Securities. 
Andrew Boone: I wanted to ask about expanding budgets. They were really healthy, right? $50,000 budgets grew, I think, 50% this quarter, but it sounds like some 3 key redemption, just demand, pushed out demand on D2C. And so the question is, can you help us understand how you can unlock more budgets to better match supply and demand across the network? Is that a thought or am I misinterpreting that? And then secondly, general merchandise almost doubled year over year. Can you just help us understand the drivers of that growth, just given the potential size of that category? 
Bryan Leach: Thank you, Andrew. Great question. So let's take them in turn. First, we expand budgets within the CPG universe. The thing we've seen over the last 12 years consistently is that advertisers want to capitalize on large and growing audiences. And so as the overall redeemer audience on our network grows, so too is the interest in getting out in front of the audience very high, I think, particularly so because of the macro. Sometimes, we have a company that is not yet in a kind of agile posture. I described earlier that some of our measurement techniques will enable a world where you can actually monitor the efficiency of your campaign live and decide, wow, that is one of the most efficient channels that I have, look at how well it's paying back, how high that return is. And you can then allocate kind of dollars intra-period, but we're dealing with an industry that, for decades, has had sort of a fixed annual planning process and then they may have some dollars that have some discretion with their media agencies. 
 And so what we've been doing is getting out in front of them and saying, look, we're ahead of pace here on growing this network. Look, this is a very efficient tactic if you actually look at this test and control and so forth. And that is starting to, I think, cause them to take a look at this as a much more strategic pillar within their marketing program, not just a layer or a tactic that rides along a seasonal marketing campaign. And then there are competitive dynamics. As you see a competitor, Sunit mentioned chicken, we've seen over the summer, a very large spike in investments by one major chicken producer lead to offers from another chicken producer, and we've seen this consistently as toward our vying to capture that consumer. 
 So I think the key to doing that is, of course, demonstrating that this is our projection of what we can -- what your capacity is on our network. We may be guilty of underestimating that capacity, but we always want to have a view on what that capacity is. And then, of course, the efficiency, the actual return on investment efficiency. And I think we're really getting -- turning heads in terms of being seen as thought leaders on how you can look at that differently. And I think it's going to take a little bit of time just to socialize some of these methodologies in our go-to-market. But as we've updated that go-to-market, I'm more excited about it than I have been in years. So I think that's how we're going to be successful in expanding their budgets. 
 And these things step up. And they are -- it's not a completely continuous thing, but we've always seen them step up. So our focus has always been on driving growth in redeemers across the network and in turn, getting those redemptions where they need to be. Your second question on general merchandise doubling and the drivers of that. It's been an area of focus of our sales team, going out and telling the story of performance marketing to industries that have never had it before. I think it is important to be able to socialize that we now can support a more diverse array of publishers where those products are sold. As I mentioned earlier, using examples of how Instacart is available at places like Best Buy and Lowe's and Costco. I think that is important. I mean this is still a single-digit portion of our  revenue. So it's really a huge upside. To your point, this is a big opportunity. 
 And we are really not finding that -- the challenge here is not we don't have the best offering. The challenge is that this is an industry that unlike grocery has not understood the power of this model in the past and has not, for instance, been high users of things like paper coupons in the past. So -- but I'm really proud of the progress we're making, and I think it's a significant driver of growth in the future. 
Sunit Patel: Just one other thing on the previous question. I mean he asked a question on budgets. We've literally more than doubled the business over the last couple of years and still seeing significant growth. So sometimes you might see slight lags. But as I was saying, we are seeing interest pick up a lot with our clients just here in this month. So over time, we've not had that issue that audiences have grown. We've generally been able to grow our budgets with our clients without much of a problem. 
Bryan Leach: Yes. I mean, when you're growing third-party redemption revenue 254% year-over-year, you're having to accommodate substantial increases in investment. And one of the reasons why we built the network was that what we kept hearing was, look, we love the fee per sale model. We just need more scale. You need to give us more scale. We would like to replace tactics that do not have this level of efficiency and predictability. I don't have to bear the risk of whether this particular piece of [ aggrated ] converts. Even if I can measure that, let's say you can measure that with certainty, which has always proven difficult, you still have to bear the risk of whether a given ad is going to work. With our system, you don't. If the ad doesn't work, there is no redemption, there is no fee. And so I think that marrying that notion with the scale has sort of been the missing ingredient. And I think with these high-profile publisher additions, it's going to become clear that this is -- you're going to get asked the question, what is your Ibotta strategy, no matter what brand you work out in the U.S. 
Operator: Our next question comes from the line of Mark Mahaney with Evercore ISI. 
Mark Stephen Mahaney: Two questions, please. With Instacart, you now have -- and Walmart and Kroger and maybe some others, a good chunk of maybe the top 10 grocery chains. Just give us a status update on how many of those you actually have, of the top ones. And any expectations you want to set on your ability to bring in some of the other largest grocery publishers? And then secondly, I know you're not disclosing specifics on where you are with Walmart, but could you give us a sense, at least qualitatively, of how much adoption or penetration you have amongst Walmart Plus or walmart.com customers so we get a sense of what the ramp looks like going forward? 
Bryan Leach: Sure, Mark. Let's tackle your first question on sort of big ones, top 10 in core grocery. Keep in mind, our network, we think, in terms of retailers as one kind of publisher. And then within that, you have the core grocery, mass, club. And then you have things like pharmacy, convenience, specialty sale. So it's a broad category. But if you mean sort of -- sort to send top 10 in terms of all sales -- all commodity sales volume, yes. I mean we are speaking to all 10 of those companies about the opportunity on Ibotta. You mentioned that some of those are already live on the platform. Some of them aren't. A good example of one that's not is Target. That's an example where we believe we have something that could be very valuable to their guests, that there is no reason for them not to have access to our national content, particularly as there's fierce competition on price, being able to have access to the resources in our network at no cost feels like a very compelling value proposition with these other top 10 publishers. 
 And so some of those,the reasons why we don't have them yet are very kind of mundane reasons having to do with their strategic planning cycle or the prioritization of their road map or waiting to outlast a contract that will come open and allow us an opportunity. But I think there are -- we're focused very much on having kind of category leaders in each category. So we have Walmart as a category leader in mass, for example. We have Dollar General and Family Dollar in the dollar channel, which is very powerful. We have Instacart now. And we're certainly looking out at Amazon. We're looking at Target. We are looking at the Walgreens of the world, the PetSmarts of the world and specialty retail. 
 So there's no structural reason why we couldn't supply them with this really exciting capability. And that's the job of our business development team led by Amir El Tabib. The second question you asked is about kind of qualitatively the adoption rate and room to run at Walmart. Enormous room for growth at Walmart. Very early innings, still in just, I think, small percentage of the total addressable audience at Walmart. And the reason for that is that up to this point, most of the activity we see there is from online grocery behavior. And that is really exciting and bodes very well for Instacart. 
 When you think about the other kind of 85% of Walmart shoppers who -- we still have a long way to go in making sure they're aware of this program, making sure that it's easier for them to navigate their way to a product that has a manufacturer offer, making sure that they can redeem more easily. Right now, you scan a QR code within the Walmart app in order to get your Walmart Cash. Are there ways we could make that dramatically easier to use? And there's a lot of ideas there coming from our decade of experience and coming from Walmart on ways to increase awareness of these opportunities. And so yes, we're not even close to kind of saturation at Walmart. I think we'll have a lot of opportunity there for quite a while to come. 
Operator: Our next question comes from the line of Ken Gawrelski with Wells Fargo. 
Kenneth Gawrelski: I want to explore the issue of kind of supply versus demand constraints in the marketplace because it feels like to me that you made great progress -- you're making great progress on the supply side, meaning like -- I'm sorry, you're making great progress on the demand side with adding more redeemers or potential redeemers, et cetera. 
 But how should we think about the ability to kind of meet that demand with the supply necessary to capitalize both on the existing partner demand, but also as you bring Instacart online? I mean, just help us understand and frame this from a demand versus supply. I know historically, you've talked about being more demand constrained, but it feels like we are where the business is today is a little different than that. Could you expand on that point, please, Bryan? 
Bryan Leach: Yes, Ken. Thank you. I appreciate the question. Yes, look, I mean, the big picture is that we've grown the average spend or the median, I should say, the median CPG budget on Ibotta for advertisers who spent more than $50,000 has grown by 50% year-over-year, and in many cases, obviously way more than that. There is a kind of outer limit to how much you can go to a brand and say, trust me, volume is going to go up 3x. I need you to allocate 3, 4, 5, 10x which you allocated last year. And they tend to say in the industry, okay, that sounds really exciting. I can't park that much money on your assurance. Let's see you go ahead and get this audience. Let's see me run through a budget in 7 days and miss out on a huge opportunity to further gain market share. Let me see data that shows that my market share is moving by 2 percentage points while my competitor is live and I'm not live, and then I will go get you the budgets that you need to continue to make sure I don't lose market position. 
 As long as you are demonstrating to them that this is an efficient, cost-effective solution, they're going to come back with that, right? And so -- but it is just a little bit of the psychology of an industry with an annual planning cycle that -- getting them to spend maybe 100% or 200% more is something we very often succeed at. The median being 50%, I think, is pretty good. But one of the challenges that we've had is that a lot of the growth has taken place in kind of existing publishers. And they're looking for the diversification, the catalyst of growth being things like Instacart. They're looking for -- to the new tools that we have, that they're excited about, that allow for a different level of targetability, which in turn means that their cost per incremental units sold is going to look more attractive because you're putting a less expensive offer in front of somebody who may be as familiar with your brand. You're putting a richer offer in front of somebody who's not who you're switching. That is key to the economic calculus of how efficient all of this is. 
 So improvement in the tools I think is important. The growth is -- still, the growth in redeemers and the proof point that look, we continue to show up with a ton more redeemers than we had last time, that is what's going to continue to unlock that. And look, over the course of our entire 12-year history, we have essentially never been supply constrained. There have been periods of time where there's been slight lags, as Sunit says, but it is about growing -- because performance-based is seen as very desirable to put your marginal dollar there. We just have to prove the scale exists sometimes. And so I think that's been what you're picking up on. But I'm quite confident that the Instacart agreement and partnership and the opportunity to get in front of this audience on the e-commerce side, the presence of separate e-commerce budgets in terms of supply, all of that will help us quite a bit in the coming quarters. 
Kenneth Gawrelski: Can I ask just a quick follow-up question? Because as we think about the -- because the benefit of the DSP model is that it's all digital, right? And so unlike a Walmart, which has got a great -- has a huge audience. The vast majority, as you talked about, is offline in-store, and it's tougher to get there, to get penetration there. But this -- Instacart brings a fully online, full digital logged-in user, right? So there should be very strong demand immediately. I guess, should we expect a lag -- a bit of a lag in terms of meeting that demand from the supply given what you just talked about? Maybe this is going to take a couple -- I don't know, you tell me the time frame to get to kind of fully utilize that demand. 
Bryan Leach: Yes. Look, I mean, the truth is we're going to find that out. We haven't brought a publisher into the network exactly like Instacart, and this is why we're careful with prognostication and looking too far out. It could be that when we speak next, I'm telling you, we've been able to talk to every e-commerce team and we are swimming in content. There's no prospect of a delay. It could be that there is a slight stagger while we wait to get more than what is available on an interim basis at certain brands. 
 I do think you're right. I mean, we are -- this whole paradigm is shifting from kind of a fixed annual client budget to a more real-time, agile bidding process on these people that are incredibly valuable. And so I think that, that is going to really turn in the long run on redeemer count. So the more redeemers we have, the more there is available in that kind of agile model. And you're going to see a generation of marketers, both not only within the brands, but within the media agency say, oh, I know what to do with this kind of tool, right? I know how to flow dollars to this because it's one of our best payback periods. I like the LTV of this cohort, et cetera, et cetera. Language you and I are very accustomed to using in the context of digital businesses like the original Ibotta D2C business is just now being made possible because of the ability to look at purchases in the physical world over time. And it's really that data that we provide that unlocks that real-time optimization that's going to be, I think, quite a significant paradigm shift. How long that paradigm shift is going to take, I would be unable to say with confidence, but I'm already seeing really strong positive indications that the market has been -- the long overdue views this as a level of thought leadership and rigor that they've been waiting for. 
 So thank you for those questions, Ken. And to everyone, thank you for dialing in and joining us on this call. And thank you for your investment and interest in our company, and we look forward to speaking with you soon. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.